Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning’s Belden Inc. Conference Call. Just a reminder, this call is being recorded. At this time, you are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. I will now turn the call over to Ms. Dee Johnson, Director of Investor Relations of Belden. Please go ahead, ma'am.
Dee Johnson - Director, Investor Relations: Thanks, Katie. Good morning, everyone. Thanks for joining us today for the fourth quarter earnings conference call at Belden. Here at St. Louis with me today are John Stroup, President and CEO of Belden; and Gray Benoist, Vice President, Finance and Chief Financial Officer. Some logistics, there are some slides and you can open those at investor.belden.com, there is no www, just investor.belden.com. If you open the webcast for more than 15 minutes, you need to refresh your browser. And if you need a copy of our press release, you could also find that on our website or call us at 314-854-8000. During the call today, management will make certain forward-looking statements. I would like to remind you that any forward-looking information we provide is given in reliance up on the safe harbor provision of Private Securities Litigation Reform Act of 1995. The comments that we make today are management’s judgment based on information currently available. Our actual results could differ materially from any forward-looking statements that we might make. However, the company does not intend to update this information to reflect developments after today and disclaims any legal obligation to do so. Please review today's press release and our Annual Report on Form 10-K for a more complete discussion of factors that could have an impact on the company's actual results. This morning, John will begin with some comments about the performance of the business in the fourth quarter. Gray will review some additional analysis and financial results, and then John will speak about our outlook for 2008. And finally, we will open up the lines for questions. So at this time, let’s turn to our President and CEO, John Stroup. John?
John S. Stroup - President and Chief Executive Officer: Thank you, Dee. Good morning, everyone. In the fourth quarter, we were pleased to see continued improvement in our organic revenue growth, which was 6% for the quarter. Our combined North American businesses had organic growth of 7%, a little better sequentially due to the resolution of production bottlenecks that accompanied our North American manufacturing restructuring and the normalization of lead times. Our Belden Asia business grew more than 50% organically in the quarter. In October, we spoke of having very strong booking in Asia due to the revamping of our sales resources and channel structure in the region, and you now see that in the revenue. Naresh Kumra and team continued to book orders well ahead of the year-ago level. In Europe, our organic growth was not as good. Even after adjusting for the sale of the Czech operation in July, out growth in Europe was negative and we fell short of the margin target we set more than a year ago, which was to see Europe exit 2007 at double-digit operating margins. Excluding the acquired businesses, Belden Europe had operating profit of 7.6% for the quarter and full year on an adjusted basis. We're disappointed with these results. As we did in Asia in early 2007, we have taken aggressive actions to improve our commercial team in Europe. We expect these changes will stimulate growth in our preferred products segment. This, along with further cost reduction initiatives, are the primary drivers to achieve in the stated doubled-digit operating profit goal. The businesses we acquired in 2007, LTK, Hirschman, and Lumberg, continued to improve our overall growth profile. LTK's revenue in the nine months since the acquisition was $227 million, surpassing their revenues for all of 2006 and with the seasonally strong second half. Lumberg Automation and Hirschman together had an organic growth rate approaching 10% for the second half of 2007. If we had owned these three businesses in 2006, our fourth quarter consolidated organic growth rate would have been above 9%. All three of the acquisitions have delighted us with their performance in 2007. The fourth quarter brought significant progress in our North American manufacturing restructuring program. Some of the milestone we achieved included, moving out of our Montreal manufacturing facility in October and closing the sale of the real estate in December as well as ceasing manufacturing in our Tompkinsville, Kentucky plant in December and transferring some of the equipment to our Nogales facility this quarter. Nogales continued to ramp up volume in the fourth quarter. There were two important people moves at the senior level during the quarter. Recently, we announced that Larrie Rose, President of our Belden Europe Business, has decided to retire after a 35-year career with the company. For now, I have appointed Henk Derksen, European Vice President of Finance, as Interim Managing Director. We are reviewing our organization structure and potential synergies in Europe and have not yet made a decision about how our European organization will be led going forward. In addition, Peter Sheehan, our Vice President of Global Sales and Marketing, is leaving the company. Our focus on organic growth initiatives in 2008, our vertical markets approach, improved channel relationships and coordination, and our liability to serve global customers remains unchanged. We engaged in a search for Peter’s replacement and we will continue to redeploys and add resources to this global strategy. Turning to slide three, operating results improved year-over-year. After adjusting for restructuring charges, the voluntary separation program, purchase accounting effects, and tax matters, operating income increased 69% to $63.6 million and earnings per share increased 80% to $0.83. As we discussed at our investor and analyst meeting on December 12, in the fourth quarter we were still experiencing some of the transitional costs associated with the manufacturing moves. As we wrap up the 2007 actions and find our new level, we expect to see $26 million of savings in 2008 compared with 2007. These savings along with greater balance sheet inefficiency will fund the organic growth initiatives we are putting in place. And now, I'm going to turn the call over to Gray Benoist, our CFO. Gray?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Thank you, John. Good morning, everyone, and thanking for joining us this morning. I'll begin with some analysis of revenue, then will walk down the income statement, review the segment operating results, and finally make some comments on the cash flow and working capital performance. Our fourth-quarter revenue of $584.6 million is an increase of 54.3% year-over-year. The acquired businesses contributed $181.1 million and currency translation was $16.3 million. These elements aside, year-over-year organic growth as John mentioned was 6% for the quarter. As we've been discussing throughout the year initiatives that began in July 2006 to better manage our product portfolio and to reposition many products to properly reflect the right customer value proposition, had a negative impact on our sales growth in the first half. We've now reporting a return to topline growth within our targeted ranges in the second half of 2007. For the year, we estimate that we actively shed $80 million to $100 million of revenue in order to improve our operating margin profile and focus our businesses around winning products and growing markets. The big bang impact is now behind us, but product portfolio management is a continuous improvement process, which will remain active across all of our segments and markets. For example, now that we have nine months of operating experience with the 2007 acquisitions, we are able to recommend portfolio actions aimed at improving margins at LTK, Hirschman, and Lumberg Automation. I’d like to have you turn to slide five. The pie chart on the left reveals our geographic mix of revenue, which in the fourth quarter was less than 50% in the US and Canada, the lowest percent in our history. Management has been intent to diversify Belden’s revenue along geographic and other dimensions, and we are very pleased that this trend continues. The pie chart on the right depicts our revenue by vertical markets. The industrial market continues to grow faster as a proportion of our total revenue than any other chosen vertical. Industrial is now 46% of our total revenue, up from 43% in the third quarter and 40% in the second quarter. We experienced double-digit organic growth in both Belden and Altra branded industrial cable, and the Hirschman and Lumberg businesses performed exceptionally well and above our expectations. The networking vertical now constitutes 24% of our revenue, down from approximately 39% just one year ago. Networking revenue grew overall when adjusted for the sale of Czech telecom operation this year, an impact of about 13 million in the fourth quarter comparison. Once again, we experienced very strong growth in the more strategic networking products like connectivity, more than offsetting lower sales in the less strategic products like Cat 5 cable. We had growth of about 30% in the category six and above copper cable products and connectivity elements of the networking business. In Asia, the business is achieving accelerated traction in system solution opportunities and thus contributed significantly to the increase in network connectivity sales in the quarter. The Mohawk brand had a strong quarter, as more of their production capacity could be shifted to meet their demands of their own order book rather than assisting Belden Americas. Networking revenue fell in Europe even after adjusting for the sale of Czech telecom operation, as we continue to work on product positioning and channel management. The video/sounded/security market, about 12% of total revenue, experience strong sales in Asia, where we began shipping products for the Beijing Olympic venues. The transportation of defense verticals remains at about 4%. The consumer electronics and consumer OEM markets served by LTK was about 40% of our revenue this quarter, LTK having finished this year and its peaked demand quarter very strong. Interestingly LTK’s organic growth year-over-year comparing pre-acquisition sales to the current quarter was about 20%. To continue with the results of operations, in the fourth quarter GAAP results were earnings of $0.71 per diluted share. These results include a number of non-recurring items that I’ll quickly discussed first. We made purchase accounting adjustments amounting to a total charge of $3.6 million pretax, resulting from the finalization of the appraisals of the acquired assets. Secondly, we took a charge of $1.6 million pretax with a voluntary separation program and other personnel actions announced in December. At that time, we estimated the total charge for this program would be between 5 million and 9 million, spread over the fourth and first quarter. Those eligible had until January 31 to submit their decisions. We expect to incur the majority of the expense for this program in the first quarter of 2008. Thirdly, we incurred a net benefit of $0.9 million from our restructuring expenses for North America, which included favorable depreciation adjustments and an earned income with respect to the curtailment of a retirement program in Canada netted with the near final severance charges for the restructuring activity. We booked a discrete tax charge of $3.5 million of the quarter, resulting from the enactment of tax rate changes in non-US jurisdictions. The lowering of statutory rates, most notably in Canada, drove the need to adjust our deferred tax assets. This is good new, as I will discuss shortly in the tax section of this report. I will focus the reminder my comments on adjusted results without these gains and charges. For your benefit, a reconciliation between GAAP and adjusted results has been provided as part of today’s press release and is also available at the end of today’s slide presentation. Gross profit was 28.7% of sales in the quarter, an improvement of 500 basis points year-over-year and 70 basis points sequentially, reflecting a number of positive trends in our business mix, cost profile, and product portfolio. As John said earlier, we can expect further margin improvement in 2008 from manufacturing and restructuring actions we have already taken. The consolidation of a significant portion of our North American capacity and our low-cost plant ceased operations in four locations, having sold out real estate at those locations, thus benefiting both lower fixed and variable cost, and having put behind us the temporary disruptive cost associated with the restructuring. Selling, general and administrative expenses were $104.2 million or 17.8% of revenue compared with $52.1 million or 13.7% of revenue in the prior quarter, and up 110 basis points sequentially. Our divisions have done a very good job of managing spending. The increase in SG&A is largely attributable to the much different business models of the Hirschman and Lumberg business, which are characterized by a higher level of R&D spend. In the fourth quarter specifically, we expanded R&D investments at Hirschman in recognition of the great opportunities this business can address. Beginning next quarter, we plan to break out R&D in our income statement to enable more transparency to this important investment area. We continue to invest in talent management incurring greater compensation expense this year as we extended performance-based bonuses much deeper into the organization, and continued the top grade. Non-segment spending increased year-over-year and sequentially with respect to investments in our lean team, new investment in pan enterprise go-to-market capability, and we also invested in project consultants and tax experts to help craft an impressive improvement in our effective tax rate in the fourth quarter. The company has initiated many projects to perfect our tax positions around the world, many of which were included and accounted for our fourth quarter G&A expense. Please turn to slide six. The company enjoyed next proceeds of $26.8 million from the sale of real estate in the quarter as mentioned in our press release. Proceeds from the sale of our facility in Quebec was $13.6 million. The excess real estate in Venlo in the Netherlands, which we vacated earlier this year in a cost reduction move brought in $3.4 million, and then the sale and leaseback arrangement for our remaining occupied real estate in Venlo, the proceeds were $9.8 million. There were negligible gains and losses on these fourth-quarter transactions. Earlier in 2007, we generated proceeds $10.7 million from the sales of our facilities in Vermont in South Carolina, which when totaled with the fourth quarter actions result in $37.5 million in cash flow, creating improved fixed asset productivity for the company, which is central to our drive to improve ROIC. Our total capital expenditures for 2007 were $63.5 million, above our historical run rate and greater than depreciation expense, because of the construction costs for a low-cost regional production facilities in Mexico and Suzhou, China. Depreciation and amortization were $48.2 million. At the beginning of 2007, we identified a plan of fund that portion of our CapEx above the historical run rate, which is about $30 million, with the sale of excess property, and we are very pleased with what we’ve accomplished of this target. The $37.5 million of real estate sales generally corresponds to the investments we made in new plants, an excellent tray. Now, turning to income taxes, income tax expense was $17.5 million and the adjusted results are 29.7% of pretax income for the quarter, bringing our full-year of effective tax rate to 33%. This is lower than our previous taxes and reflects lower tax rates in China and thorough tax planning, the opportunity to utilize net loss carry-forwards in certain jurisdictions that previously were expected to be delayed. We’re especially pleased by the results we are getting with respect to the thorough tax planning we’ve initiated and the benefits we expect to receive well into the future. Our 2008 outlook for the effective tax rate is now 32%, which is reflected in our earnings guidance. We continued our share repurchase program in the fourth quarter buying back 456,000 shares in the quarter for $21 million. That brought our total repurchases for the year to 677,000 shares for $31.7 million. We have continued our share buyback plan here in the first quarter, and as of today we’ve repurchased over 1.1 million shares for a total outlay of $50 million or half of our authorization at an average share price of $43.99. Average diluted shares for the quarter were 49.9 million and for the year-to-date, 50.6 billion. We are using 50 million shares in figuring our 2008 EPS guidance, but the actual diluted share figure may be different as enforced by further share repurchases and in the stock option exercise activity. I would like to now to turn now to segment results. External revenue at the Belden Americas segment was $225.5 million, an increase of 8.1% compared with the year-ago period. Segment operating income adjusted by 0.4 million net benefits of restructuring and a portion of the VSP was $44.3 million or 17.9% of total segment revenue, which includes inter-company sales, up 220 basis points year-over-year. On this basis, Belden Americas full-year operating margin percentage was 18.1%. The Specialty Products segment’s external revenue for the fourth quarter was $63.4 million, up 11.3% compared with the year-ago quarter. Increases occurred in both the Thermax brand in aerospace and industrial high-temp tables and with the Mohawk brand in enterprise cables. The division's revenue from affiliates increased 167% from a year ago, but was lower sequentially reflecting the division’s continued supply Belden Americas necessary to meet customers’ lead times. The operating profit of the Specialty segment adjusted by less than $200,000 for their portion of the VSP fourth quarter charge was $12.5 million or 14.7% of total revenue, up 460 basis points from the prior-year quarter. The European segment's external revenue was $190.3 million in the fourth quarter. This includes $102.2 million from the businesses acquired in the second quarter. Operating income for the Europe segment was $18.2 million in the fourth quarter or 9.3% of total revenue. The legacy Belden portion of the segment, as we mentioned earlier in our remarks, fell short of our target of 10% operating [inaudible] coming in at 7.6%. We remain confident in the achievement of our double-digit target and we're disappointed that we were not able to deliver this result in the fourth quarter. As John mentioned, the primary performance drivers were all operational and not structural and well within the team's ability to manage. The Asia Pacific segment had fourth quarter external revenues of $105.3 million, of which $78.9 million was attributable to LTK. The legacy Belden Asia Pacific business had great sales growth in the quarter with revenue up 53.5% compared with a year ago, and as John said continued strong bookings. For the Asia Pacific segment as a whole, inclusive of LTK, operating income was $12.3 million or 11.7% of revenue, reflecting good margin performance in both LTK and the legacy business. Free cash flow in the fourth quarter was approximately $15 million, which brings full year free cash flow to approximately $142 million, about equal to net income. Consider, the $63.5 million capital expenditures in the 2007 free cash flow calculation does not include the offsetting real estate sales of $37.5 million. If we adjust the free cash flow for net rather than gross capital expenditures, our ratio of free cash flow to adjusted net income would be 124%. If I could ask you to turn to slide seven please. Inventory turns using trailing cost of goods sold continued to improve to 6.6 turns, up sequentially from 6.2 turns in the third quarter and comparing very favorably with our starting point in the first quarter of 2005 where turns were 4.2. This is the evidence of our lean enterprise discipline taking hold and showing sustained inventory reduction over a period this time. This is transformational as Belden moves from a maintenance-stock business model to a more customer-intimate made-to-order model, and we're still at the very early stages of this transformation, but we are pleased to report this improvement now trending over two years. Working capital turns for the quarter were 6.0, an improvement from 5.8 turns last quarter and 5.5 turns a year ago. At this time, I'd like to turn it back to our CEO, John Stroup, for a few remarks about our 2008 outlook. John?
John S. Stroup - President and Chief Executive Officer: Thank you, Gray. Looking ahead into 2008, we have a number of factors working for us. We've done a lot of hard work on our product portfolio to make sure that we're selling what we want to sell at prices that properly reflect the value we bring to customers. We are focusing on talent across the organization like never before, adding significantly to our talent in Asia for aiding our lean team and making significant additions to senior management. We’re a-year-and-a-half into our lean implementation, so more and more our associates are learning the tools, understanding the value streams, and committing to continuous improvement. We have completed restructuring actions in both Europe and North America with the benefits ready to be realized in 2008. We have increased our outsourcing to make our cost structure more variable. Through our 2007 acquisitions and dispositions, we've improved our geographic mix with a much more significant presence in Asia, and added industrial networking and connectivity products that are highly attractive to our industrial customers and eliminated less desirable positions in commodity telecom. We believe these actions over the past two years make us more resilient if we are to face slower economic growth in 2008, and stronger as a company irrespective of the economic conditions ahead. We have constructed our 2008 guidance on the assumption that we are entering such a period of slowing economic growth. For 2008, our outlook remains as we stated at the December analyst meeting. As you see on slide eight, we expect our full-year revenue to be between $2.2 billion and $2.3 billion, our operating margin to improve to between 12% and 14% of revenue, and earnings per diluted share excluding any restructuring charges that may occur to be between $3.45 and $3.75. The mid-point of that range would be a 25% improvement in earnings per share over our 2007 performance. I want to thank all our associates for their good work in 2007, both in strategy implementation and in achieving these results. We can all be proud of how far we have come. And thanks to all of you on the call for your interest in Belden. This concludes our prepared remarks. We now have some time for your questions. Our operator, Katie, will remind you of the procedures for asking your questions. Question and Answer
Operator: Thank you. [Operator Instruction]. And Mr. Stroup, we'll take our first question from Jeff Beach with Stifel Nicholas.
Jeffrey Beach - Stifel Nicolaus: Yes. Good morning, John and Gray.
John S. Stroup - President and Chief Executive Officer: Hi, Jeff.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Good morning, Jeff.
Jeffrey Beach - Stifel Nicolaus: Here is the information that I think would help me as well as a lot of maybe investors on the call. Could you roughly break down the increase in your SG&A this quarter that I'm estimating here at $104 million, up about $10 million from the last two quarters? I think that would help me understand what's occurring here and what might be sustainable going ahead versus what might be a fourth quarter item?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: I'm happy to do that, Jeff. I think the most significant item was our desire to allow HAC to go address expansions in R&D specifically tailored towards opportunities that they review with us in management associated with product expansion and market expansion for the portfolio. So we did agree to about a $5 million increase, right. And again, that was on the strength of the euro as well. We did agree to about a $5 million increase at the beginning of the quarter for HAC associated with addressing those market opportunities. They have an interesting model in HAC, one I admire very, very much in that they do partition their research and development between in-house and third-party and they do an exceptional job. So about 20% to 25% of there R&D capacity is really with third parties, which allows them to throttle back and forth between expenditures and non-expenditures based upon market and business conditions. So, we allow them at the beginning of the quarter to turn loose contracts with third-party developers, mostly on software, that would allow them to move forward the product portfolio in an accelerated fashion. We think it's the right decision. I mean the market opportunities at Hirschman are quite compelling. And I do want to emphasize the fact that our ability not to be adding sustained cost structure and that the cost structure that we did add in the quarter was nearly discretionary and was able to be managed right by third-party contractors rather than additional resources inside the enterprise. So that was about half of the increase. Another part of the increase was the fact that we did incur, and again this was all on third-party contracts, a considerable amount of expense at the corporate level for tax planning. And again, it was I think smart money associated with the things we wanted to accomplish in the quarter. We probably spend a little bit more than perhaps I'd like, but it's not enough to make a difference to you, but the results that we are getting on tax planning both for the quarter, which I thought were exceptional, as well as for the plan going forward, are quite remarkable, and again it was experts and contractors associated with work rather than permanent cost structure. The last piece I'd like to bring to your attention is just the extra week in the month of December. It is a 14-week month for us rather than 13, so we pay an extra week of salary generally across the company. So that's about $2 million of, again, non-systemic cost structure that eliminates itself when you go to period review of those expenditures. But we are continuing to invest, Jeff. We are adding resources, and we are adding resources in lean and we're adding resources in the go-to-market piece of the business associated with our global sales and marketing group. So there are elements of permanent structure that are being added. But I want to again frame that, I want to frame that with the action that we just took on the VSP, for example, where our expectations on the VSP between both production as well as SG&A employed is that we are going to experience the kind of result of sort of a quid pro quo, if you will, associated with that action. So I think everything is in balance and I understand your view of a potential surprise, but again I'd like to call it smart spending on our part.
John S. Stroup - President and Chief Executive Officer: Jeff, the only thing I would add to that, to what Gray said is that, we've got an enormous focus and we will continue to have a focus on driving efficiency within SG&A with a special attention towards the G&A portion, and really trying to drive leverage through our lean processes as well as just designing our systems to be more effective, and taking some of those monies where it make sense to invest in our strategic initiatives, which is largely in R&D and in sales investments, so clear cost awareness on the G&A side and trying to make intelligent investments that will deliver organic growth and deliver margin expansion to the business in the areas of sales and engineering.
Jeffrey Beach - Stifel Nicolaus: Okay. Just clarification plus a follow-up, did the $5 million increase Hirschman did, 70 million to 75 million of sales, this is an addition that is going on forward into 2008? Is that kind of a rate per quarter of 20 million increase on what is it, $300 million company, is that right?
John S. Stroup - President and Chief Executive Officer: No, Jeff. This is not a recurring… higher recurring level. They had a number of programs in Q4 that were very near completion, and the increase in cost as Gray said was largely from outsourcing initiatives that were required to complete those projects on time, and we elected to go ahead and spend the money in the fourth quarter rather than to extend it later to the year because there are important product launches. So, no, we would not envision these being a structural increase in R&D at Hirschman.
Jeffrey Beach - Stifel Nicolaus: Okay. The follow-up, the short fall in legacy Europe, can you explain the best you can what happened there and roughly the time frame, you said you're already taking actions, but when do you think you will see a double-digit profitability in legacy Europe?
John S. Stroup - President and Chief Executive Officer: Well, Jeff, I think the… if you look at the issues that we had in Europe… legacy Europe, it really starts with topline. We did not meet our topline expectations in Europe, and if we had met our topline expectations I think we would have gotten very close, if not had having achieved the double-digit operating income performance. The situation we are there I think is actually not dissimilar to what we talked about a year ago in Asia where we are making a number of very significant changes to our commercial resources, so that we can be more effective in selling the systems, and as Gray mentioned we made good progress in Asia and US in improving our system sales and so forth. We’ve not made as much progress in Europe as we have in other parts of the world. And our management team in Europe now is making a number of changes, and when those changes occur it does create disruption in the short run and I think we did see some of that in the fourth quarter. The second part of your question is… my viewpoint would be that we ought have an expectation that we can get a double-digit operating income in Europe in the first quarter of this year. I think that will be difficult for us to achieve, but clearly if we should have achieved it in the fourth quarter, then we ought have an expectation that we are going to achieve it in the first quarter. So we are very focused on it and we are focused on getting the topline up in the areas that are important to us. We are focused on getting the inefficiencies in the manufacturing area out. We have not come off the goal in anyway, and we are going to be very focused in trying to get back to that double-digit goal in the first quarter of the year.
Jeffrey Beach - Stifel Nicolaus: Okay, thank you. Your answers are I think real helpful to investors.
John S. Stroup - President and Chief Executive Officer: Good. Thanks, Jeff.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Thanks, Jeff.
Operator: We will go next to Celeste Santangelo with Merrill Lynch.
Celeste Santangelo - Merrill Lynch: Good morning.
John S. Stroup - President and Chief Executive Officer: Hi, Celeste.
Celeste Santangelo - Merrill Lynch: Hi, how are you?
John S. Stroup - President and Chief Executive Officer: Good.
Celeste Santangelo - Merrill Lynch: So just following up on Jeff's question, even if you’re backing out the extra 5 million of costs in the quarter, it seems like operating margins still fell shy of your full-year target for 12% plus. Yet you're still maintaining 12% to 14% for next year. Could you kind of talk about what else happened in the quarter? It sounds like some of the inefficiencies you saw in Q3 trickled through to Q4, and then based on that lower base and what seems to be higher R&D spending in '08, how… just kind of talk about how you plan on getting to the 12% to 14%?
John S. Stroup - President and Chief Executive Officer: Sure. I mean I guess I’d start, Celeste, by sort of reemphasizing the fact that the R&D uptick that we saw in the fourth quarter, we don't view that as a recurring trend, we view that as a non-recurring event, and some of the other costs that we saw in the fourth quarter did have to do with the extra week in the quarter, so again it is a non-recurring event. But in terms of where we would like to go in 2008, clearly we want to be between that 12% and 14%, and to get there, there is really two things we have to do. One is we have to make good on our manufacturing cost reduction activities, and I think we did make good progress in the fourth quarter. There still are costs in our income statement in the fourth quarter that shouldn't be there. They are related to transitions and inefficiencies that we are working hard to get out of our income statement that we have a high degree of confidence will come out in 2008. So that's obviously a big part of our planned improvement in 2008. And then I would say, secondly it is just continued focus… continuous improvement around product portfolio and smart organic growth and getting the inefficiencies out of G&A. But I think if you look at where we are in the fourth quarter to where we think will be in 2008, I think the biggest labor for us has improved in manufacturing cost structure. As we mentioned, we have in fact got into production out of Montreal, we've got into production of Tompkinsville, Nogales is ramping up. If we look at our footage for the Nogales, it is increasing at a very steady rate. Scrap rates are coming down in Nogales as well. We have a new facility in 2008 planned in China. So I think all those actions give us a great deal of confidence that we will in fact improve our gross profit, which is going to be most of our operating income improvement, and I wouldn't expect that we would see any tickup in our SG&A costs going forward. I think that's going to remain constant or improve as we continue to stay focused on making good sound investments, but recognizing that 2008 is likely to be a year of slowing economic growth.
Celeste Santangelo - Merrill Lynch: Okay. And at the analyst meeting, you kind of talked about your more cautious tone regarding the outlook in '08, and it seems like it was based more on things that you were hearing, not necessarily what you're seeing. Has anything changed since then?
John S. Stroup - President and Chief Executive Officer: I’d say nothing has really changed substantially since December as it relates to our business. The numbers that we look at most closely are all within the natural control limits of our business and there has not been anything that has happened since then that would lead me to conclude anything differently. Our feelings in December were based largely on macro trends that we were all listening to together and trying to be prudent about how to position our company correctly, should in case we deal with slowing economic growth. And at this point, I would say the macro environment has probably deteriorated slightly, but from a micro basis I'd say it is really unchanged.
Celeste Santangelo - Merrill Lynch: Great. Thank you.
John S. Stroup - President and Chief Executive Officer: You are welcome.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Thanks a lot.
Operator: We will go next to Matt McCall with BB&T Capital Markets.
Matthew McCall - BB&T Capital Markets: Thank you. Good morning, everybody.
John S. Stroup - President and Chief Executive Officer: Hi, Matt.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Hi, Matt.
Matthew McCall - BB&T Capital Markets: Let’s see, back to the expected improvement in legacy Europe, I guess Europe overall… I think you spoke about focusing on some of these product portfolio management efforts, implementing lean, and I know that when you really started down that road domestically we saw some margin pressure. Should we expect some type of ongoing margin pressures as you pursue those efforts in Europe?
John S. Stroup - President and Chief Executive Officer: Well, the things we've been doing in Europe are actually very similar to what we've been doing in United States. So no, I wouldn't think you should expect any margin pressure in Europe as a result of the actions in Europe. I would say that obviously in Europe we started from a much lower starting point, and if you look at our improvement from where we started, which was basically a breakeven business to 7.5%, we've obviously shown good progress, but it is not where we need to be. I think for us the thing that we deal within Europe is clearly the expectations of the market as it relates to profitability are substantially lower and we deal with that, not that we want to give into in any way, but I think for us if we could be doing a better job on topline, if we could be growing the product categories in Europe like we're growing them in Asia and the United States, that would help us an awful lot. And on the manufacturing cost side, we've made good improvement, but there's still more improvement that we need to make and it’s hard work in Europe to deal with the restructuring costs of manufacturing. So we'll see, but we think that we are going to achieve our target in 2008 in Europe. I hope it happens earlier in the year. We remain very focused on it. And as I also mentioned, as we look at the organizational structure in Europe, we will clearly be looking at it with a view of how do we improve the overall European business as best as possible, and clearly with the addition of Lumberg and hence been we have commercial opportunities we didn't have before as well as perhaps to more SG&A efficiency that wasn't available to us before as well. So I think we have a number of levers we can pull, and I remain optimistic that we're going to get to that target, Matt.
Matthew McCall - BB&T Capital Markets: Okay. And you mentioned the target in Europe, and forgive my memory if it is slipping, but have you broken out a specific target that you’ve provided us for Europe?
John S. Stroup - President and Chief Executive Officer: Well, the target that we're referring to is one that we've given now for some time about the BeldenCable or the Belden legacy business in Europe and that was to get to 10%.
Matthew McCall - BB&T Capital Markets: Okay.
John S. Stroup - President and Chief Executive Officer: And that business was 7.5% in the fourth quarter.
Matthew McCall - BB&T Capital Markets: Okay. And Gray, I think you mentioned the inter-company shipments, specialty to Belden, I think you said something like to meet customer lead times. Could you just elaborate on that? I don't know if it's anything… I just want to make sure, is that related to the consolidation of the facilities and the ramping up of the facilities? What did you mean by that?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Yes, that was with discussion, Matt, we had in the third quarter where we really ramped up the inter-divisional activity with the Mohawk production facility to be able to deal with this tremendous uptick in volume that we saw in just networking cable and the Americas as were taking down that production. So the desire was to meet customer lead times in the Americas on the Belden brand and utilize the Mohawk production facility to do so.
Matthew McCall - BB&T Capital Markets: Okay. And the nice margin reported in specialty, how much of that is at risk as you move that production to Nogales --?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: That is a great question and one that we are centered around everyday, right as to minimize the disruption. Here is what I can say. One of the nice things about the uptick in volume in Mohawk associated with the inter-company activity did require that we add resources, but none of it structural. So the cost structure of the facility didn't change and we used a significant number of temporary workers. So since we kept the structure variable, we're hoping that as we come down and transfer that the volume as you've just indicated and that goes to Nogales, is that we’ll be ramping down the cost proportionally.
Matthew McCall - BB&T Capital Markets: Okay. And forgive me, I had to jump off for another call. Did you give your CapEx outlook for '08, and you have spoken about in the past net of proceeds of plant closures, maybe both of those?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: The CapEx we gave in… at the December meeting, Matt.
Matthew McCall - BB&T Capital Markets: Okay.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: And my recollection is, and I'm looking around the room, I think it was $60 million, exactly equal to this year's CapEx, as we finish the construction in Suzhou.
Matthew McCall - BB&T Capital Markets: And that's not net of any sales of facilities?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: I’ve just been told, the number $50 million and that is not net of any facilities sales.
Matthew McCall - BB&T Capital Markets: Okay. And then your working capital expectation sound like you've got some more good news coming on the inventory turns, both domestically and abroad. What is the… any color on what your working capital expectation would be in--?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: We are absolutely focused and determined to measure our performance based upon exactly one-turn improvement in inventory, right, and one-turn improvement in working capital, right. And those are management measures, right. It's utilized with respect to our performance, and we are absolutely dedicated to accomplish those goals.
Matthew McCall - BB&T Capital Markets: Okay, that's helpful. And then the final question, I think, Gray, you said the guidance that you've provided assumed 50 million shares, correct? And you’ve had 49.8 million in the quarter and you bought back another 1.1, that's correct?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: That's correct. The 1.1 includes an additional… I think it's about 500 that we have done so far this year.
Matthew McCall - BB&T Capital Markets: That's the total this year. Okay.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: is the total for the program. If you split it between its years, 670,000 were in last year and 430,000 so far this year. So we are already 400,000 below where we ended up at the end of the year.
Matthew McCall - BB&T Capital Markets: Okay, guys. Thank you all very much.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: You are very welcome.
John S. Stroup - President and Chief Executive Officer: Matt, thank you.
Operator: We'll go next to Nat Kellogg with Next Generation Equity Research.
Nat Kellogg - Next Generation Equity: Hi, guys.
John S. Stroup - President and Chief Executive Officer: Hi, Nat.
Nat Kellogg - Next Generation Equity: Nice quarter, just a couple of sort of questions. On the working capital improvement side, was there any sort of seasonal things … either a tailwind or a headwind, that may change going forward, or is this… was there any seasonal help or hindrance there?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Well, when you look at the trends going backwards, you actually have seasonal benefit because the fourth quarter if you look backwards is always your highest quarter. So it helps the metrics. If you look at our internal metric, of course now we go into our seasonally lower quarter, especially with LTK, right. LTK shifts the Christmas volume and the first quarter volume is down. So, on a going… on a looking-forward basis there actually is headwind, right, that we’ve got to go address associated with the ending balance. I will note the following. Last year, we got surprised in 2006 year-end and we stopped production when orders reached a certain point and we thought we have plenty of inventory. At the end of the year, well, we just got knocked for a loop, right, associated with the pull-down of our inventory position. So when we sat down with the management team in November, Matt, we said we are not going to let that happen again. So we did instruct most notably Belden Americas business, right, to build extra inventory. So we've got two pieces of headwinds, so that the seasonality that we are going into in the first quarter and the fact that we did systematically decide to build about $10 million $15 million with extra inventory so that we could assure ourselves that we wouldn't be surprised again with respect to some phenomenon in December. And we're happy to say, it was good that we had that inventory and we're really happy with the topline number that we generated in the quarter, and I think some portion of that was available, maybe as much as $5 million of that was available, associated with our decision to build a little extra inventory in the fourth quarter, right. But again, those are non-systemic sort of periodic events, but it does create a little headwind for us as we head into the first quarter.
Nat Kellogg - Next Generation Equity: Okay, that's helpful. And then just… I guess you guys are expecting probably 5 million plus for your VST charge for Q1, I mean that's right?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: That's well within the range, yes.
Nat Kellogg - Next Generation Equity: Okay, all right. And then, can you guys just talk about any areas you did see some weakness in the quarter, I mean inevitably some things are good and some things are not good, just kind of get a sense of any areas you guys are seeing a slow down or weakness or whatever?
John S. Stroup - President and Chief Executive Officer: Really, if you look at the quarter, I would say the only thing that we’d point to, and we talked about it now here a couple of times, is we were disappointed with our performance in Belden Europe. We would have liked to have seen much better performance out of that business group, topline, margins, manufacturing costs, that was an area of the business that did not perform as well as it could have and as well as I think it should have. So that was clearly a disappointment. But if you look at the other parts of business, you look at the segment results, Latin America has performed well, specialty performed well, our acquisitions performed well, Belden Asia up 50% year-over-year, great quarter. I would say that, at our level, the area that we're most focused on right now is seeing us achieve the 10% operating income performance at Belden Europe.
Nat Kellogg - Next Generation Equity: All right. And then obviously you guys talked quite a bit about sort of acquisition opportunities and the firepower, the dry powder that you have at the analyst day in December. I'm just sort of wondering if that still stands, and given sort of valuations in the market, have you seen any change in valuations for acquisitions that you are looking at and is that still a top priority for you guys in ‘08?
John S. Stroup - President and Chief Executive Officer: Well, it's absolutely still a very high priority and our view of it is unchanged. And I would say that buyers have started to manage their valuations down and sellers are always a little bit slower. But clearly, I think 2008 could be a very good year for companies to make strategic acquisitions at more reasonable prices than maybe what we've seen in the last couple of years. And so our process remains focused on first and foremost strategic fit and then secondly at valuations that make sense.
Nat Kellogg - Next Generation Equity: Okay. And then just, [inaudible] other income, what was included in the other income line?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: The other income line, now it includes the benefit associated with our joint ventures that we acquired as part of the Hirschman transaction.
Nat Kellogg - Next Generation Equity: Got you.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: In order to do business in China that way that [inaudible] they use our 50-50 JV and the business was very, very healthy with respect to the fourth quarter when we started our accruals, maybe a sort of mix and match [inaudible]. We accrued at a certain level for Q2 and Q3 and we trued it up at the end of Q4, and we were very surprised by the level of performance, it was exceptional. So there was a little adjustment in fourth quarter associated with elements that perhaps could have been accrued earlier in the year. But the fundamental is that we have a sustainable earnings as well as cash vehicle in China and it is sitting down below the line of operating income.
Nat Kellogg - Next Generation Equity: Okay. And those businesses tend to be a little bit better in Q4 like the LTK business or not?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: No, they don't. I mean they are far more linear. That was mostly the ECS business with Hirschman, which is the crane business.
Nat Kellogg - Next Generation Equity: Okay.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: And you can imagine why we have do the crane business in China with a JV. The market is so strong there that politically it's really important to have a very strong partner to join you in the manufacturing of the products for the market.
Nat Kellogg - Next Generation Equity: Okay, that's great. And just last one, you guys said CapEx was 50 for 2008, 50 million?
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: No, we misspoke, we should have said 60.
Nat Kellogg - Next Generation Equity: Okay, 60. All right, great. That's all I've got. Thanks, guys. I appreciate it.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Thank you.
Operator: [Operator Instruction]. We'll go next to Jon Braatz with Kansas City Capital.
Jon Braatz - Kansas City Capital Associates: Good morning, gentlemen.
John S. Stroup - President and Chief Executive Officer: Hey, John.
Jon Braatz - Kansas City Capital Associates: Most of my questions were answered already, but let me ask you this. As we enter fiscal 2008, I think you indicated that you have about $28 million in cost savings relative to last year and… or maybe it was 26. If we would to look forward 12 months, obviously you have a lot of things on your plate, not only in Europe but elsewhere. What would you like to achieve and… say, next year at this time in terms of how you are looking at your cost structure relative to the prior year in terms of savings and things being realized, synergies being realized? How would you look at that… how should we look at that going forward in 12 months?
John S. Stroup - President and Chief Executive Officer: Well, Jon, I would say that we are always looking at our business at, at least a three-year cycle looking forward. As we look at our manufacturing cost structure, it's an area that we’ll remain focused on for obviously some period of time with two primary areas of focus, one being our footprint, and we have actually not spoken an awful lot with anybody yet as it relates to specifics regarding opportunities that we think may exist with some of the companies that have been recently acquired, and those who exist we feel we're just not in a position yet to be able to communicate those with any level of detail. Secondly is that our Nogales facility is a facility that has an awful lot of capability and capacity, and if there are opportunities for us to take advantage of that in a greater way, then we would look at that as well. So it's not out of the question that in 2008 we might be in a position to communicate plans that would not necessarily have a benefit in 2008, but could have a significant benefit in 2009.
Jon Braatz - Kansas City Capital Associates: Okay.
John S. Stroup - President and Chief Executive Officer: But we are not in a position yet to be able to talk about those.
Jon Braatz - Kansas City Capital Associates: Okay. Would it be of the magnitude possibly that we have seen most recently?
John S. Stroup - President and Chief Executive Officer: It's hard to say, Jon. I mean I think that they would certainly be meaningful or we wouldn't take the actions, but I think it is difficult for us to be able at this point to say that they’d be of the same size that we have seen here recently.
Jon Braatz - Kansas City Capital Associates: Okay.
John S. Stroup - President and Chief Executive Officer: The other thing, Jon, I should add of course is that the other part of our strategy that's so important is the ongoing productivity improvements that we expect to get through lean processes and wringing out inefficiencies in all of our operating side.
Jon Braatz - Kansas City Capital Associates: Okay. I know you spoke sort of the big picture and spoke of how strong the order rates are in Asia. Could you speak a little bit more specifically about what you're seeing in Europe and North America? Has there been any changes in order rates as you see it versus three, four months ago?
John S. Stroup - President and Chief Executive Officer: I would say that there hasn't been any substantive changes across Europe or the United States. We have had some product lines that have slowed a little bit, that were strong earlier in the year. We have got some other product lines that actually picked up a little bit. Again, I would say everything we're seeing are within the natural upper and lower control levels of the numbers that we look at. So some variation, but not wild variation, not enormous volatility in the numbers that we have seen as of yet. Nothing that we could look to our point to that would suggest anything substantial.
Jon Braatz - Kansas City Capital Associates: Okay. Thank you very much, John.
John S. Stroup - President and Chief Executive Officer: Okay.
Gray G. Benoist - Chief Financial Officer and Vice President, Finance: Thanks, Jon.
Operator: Mr. Stroup, there are no further questions at this time. Please continue.
Dee Johnson - Director, Investor Relations: This is Dee. Let me thank you once more for joining Belden on our earnings conference call today. We really appreciate your interest. Give us a call any time if you have follow-up questions. And this concludes our call.
Operator: Thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect from the call, and thank you for your… for participating.
Dee Johnson - Director, Investor Relations: Thanks, Katie.